Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:06 Good afternoon, ladies and gentlemen, and welcome to the Dolphin Entertainment Third Quarter twenty twenty one Earnings Call. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. 00:19 It's now my pleasure to turn the floor over to your host, James Carbonara. Sir, the floor is yours.
James Carbonara: 00:28 Thank you, and once again, welcome to Dolphin Entertainment’s third quarter twenty twenty one earnings call. With me on the call are Bill O'Dowd, Chief Executive Officer; and Mirta Negrini, Chief Financial Officer. 00:40 I'd like to begin the call by reading the Safe Harbor statement. This statement is made pursuant to the safe harbor statement for forward-looking statements described in the Private Securities Litigation Reform Act of nineteen ninety five. All statements made on this call with the exception of historical facts may be considered forward-looking statements within Section 27A of the Securities Act of nineteen thirty three and Section 21E of the Securities Exchange Act of nineteen thirty four. 01:07 Although the company believes that expectations and assumptions reflected in these forward-looking statements are reasonable, it makes no assurances that such expectations will prove to have been correct. Actual results may differ materially from those expressed or implied in the forward-looking statements due to various risks and uncertainties. 01:26 For a discussion of such risks factors and uncertainties, which could cause actual results to differ from those expressed or implied in the forward-looking statements, please see risk factors detailed in company's annual report on Form 10-K, contained in subsequent filed reports on Form 10-Q as well as in other reports that the company files from time to time with the Securities and Exchange Commission. 01:46 Any forward-looking statements included in this earnings call are made only as of the date of this call. We do not undertake any obligation to update or supplement any forward-looking statements to reflect subsequent knowledge, events or circumstances. 01:58 Now, I’d like to turn the call over to Bill O'Dowd, Chief Executive Officer of Dolphin Entertainment. Bill, please proceed.
Bill O'Dowd: 02:07 Thanks, James and hi, everyone. Good afternoon, and thank you for joining us today. As always, we'll start with the review of some financial and operating highlights, followed by a full financial review and then open it up for Q&A. 02:23 So from a financial highlight’s perspective, the momentum from the first half of the year carried through to the third quarter. Looking at the P&L, we have set another new record with nine point four million dollars in revenue, up seventy percent year-over-year with an absolutely fantastic forty one percent year-over-year organic growth from existing subsidiaries. Please note that this follows Q2, which set a record of eight point six million dollars in revenues, which followed Q1 which itself had a set a record of seven point two million dollars in revenues. 02:58 Next, looking at our operating income, which is the metric by which we gauge ourselves. It's positive for the second consecutive quarter even when including the non-cash expenses of depreciation and amortization. To reiterate positive operating income from microcap entertainment company, even including the D&A expense from our acquisitions. What's also nice is that we are EBITDA positive through the first nine months of the year, even while investing in our 2.0 initiatives. 03:29 Okay, let's turn to the balance sheet. We have a record cash position of twelve point seven million dollars, which is an increase of sixty percent compared to December thirty one, twenty twenty. Also, we now have significantly more cash than all debt combined, including long term debt. 3:47 Furthermore, let's look at our working capital after reaching a peak working capital deficit at the end of twenty nineteen of just under sixteen million dollars, as we borrow to pursue our acquisition strategy to build our Super Group. We're now reporting a working capital surplus standing at four point five million dollars, which is more than triple the working capital surplus as of June thirty. 04:09 And of course, since we're a cash positive company, we expect the surplus will only continue to grow. Does our balance sheet today less than two years removed from our peak working capital deficit, can only be fairly described as possibly our biggest strength when compared to our microcap peers. 04:28 I'd like to reiterate the reason this is so important to us is because that working capital surplus gives us the muscle on our balance sheet for the next set of acquisitions and 2.0 investments. For acquisitions on the same terms of any of the six we've already done for example, we will be able to pay the cash component for any of them from cash currently on our balance sheet. 04:49 Furthermore, we have not needed to borrow money or do a drawdown on our S-3 to fund the development of our NFT business. In short, this perfectly illustrates the better mouse trap we feel we've built with Dolphin. A growing cash positive core business in Dolphin 1.0 that is capable of self-funding the majority of investments in development costs of the big potential upside opportunities of Dolphin 2.0. 05:14 Now let's move to some operational updates on our Super Group, the companies that are making those great numbers happen. Let's start with Shore Fire Media. Dolphin’s industry leading music PR firm, which is having an absolutely terrific year. Shore Fire helped the concert and event business to relaunch by publicizing forty tours year-to-date from artists in all genres. The Nation's largest festival Milwaukee Summerfest and the reopening of nationally recognized venues, including New York’s legendary Blue Note and the award winning Brooklyn Bowl in Nashville. 05:46 Shore Fire client, Angelique Kidjo, was named one of Times 100 most influential people; Carole King and Todd Rundgren were inducted into the Rock & Roll Hall of Fame; and athlete Chris Bosh was inducted into the NBA Naismith Hall of Fame. Shore Fire's corporate clients, including North America's leading live stream shopping platform network, tech-focused digital fan engagement company, Mandolin, and reservations technology platform, Lyte, have won best-in-class awards recently in SaaS company, Forbes, Ad Age, Adweek and Rolling Stone, thanks to Shore Fire's efforts. 06:21 Okay. How about 42West, Dolphin's Entertainment PR Powerhouse. While speaking of September, that's Emmy's month and 42West's extraordinary range of work for programs and individuals put their clients in position to receive a total of 19 Emmy nominations. Just to highlight a couple, the company's work on the Amazon series, The Boys, led to multiple nominations, including for outstanding drama series. Also, as a result of 42West campaign efforts, the acclaimed music documentary, Billie Eilish: The World's a Little Blurry earned a total of four nominations. 06:54 Turning to BHI, the division of 42West with a particular focus on entertainment consumer products and gaming, BHI was engaged by Fandom, the world's largest fan platform and, number one source for in-depth information on pop culture, entertainment and gaming, to execute comprehensive publicity efforts for increased brand awareness and overall business growth. For context, Fandom is an entertainment and gaming juggernaut, reaching more than three hundred and fifteen million unique visitors each month across two hundred and fifty thousand fan power communities with thirty million pages of content to get thirty billion page views per year. 07:32 Moving along to Be Social, Dolphin's influencer marketing group. Be Social launched its Showroom concept, hosting a two-day Summer Showroom in West Hollywood, participating brands include Bondi Sands, EyeBuyDirect, MATE The Label, and Peach and Lily, among many others, with key creators in the beauty, fashion, and lifestyle spaces in attendance. Those who follow our company closely know that I'm a big fan of this initiative and I'm going to ask how influencer showrooms work. While, the model of the showroom concept is pretty simple. Brands pay a fee to be included in the showroom and work with Be Social on selecting products that are carefully tailored towards the influencers attending. 08:12 From there, Be Social handles all event production in addition to spear heading influencer outreach. Be Social uses their own in-house roster talent, along with their team's longstanding influencer relationships to drive traffic to the event. Influencers are gifted the products from each participating brand during the event and then Be Social monitors all social coverage secured from the event for a full month, sending each brand to tailored report outlining all social placements secured for their products as a result of the event. Hopefully, that helps provide context for the showroom concept, we intend to scale in twenty twenty two. 08:48 Next up, Viewpoint Creative, Dolphin's respected creative relations agency and video production boutique. Viewpoint joined forces with the Leary Firefighters' Foundation to create and distribute content commemorating 9/11 and the twenty years since the attacks. More than a tribute to the heroes who fell that day, the content recognized Legacy Firefighters, who continue to struggle with the fallout, and how the FDNY has improved systems and processes based on the events of 9/11. We're always very proud and willing to highlight this type of work that Viewpoint does. 09:23 And last but not least, let's talk about The Door, our leading culinary, hospitality and lifestyle PR firm. The integrated marketing division that The Door is doing great work for their consumer products clients, and the culinary and hospitality teams are fresh off promoting the New York City Wine & Food Festival last month. But truth be told, I saved The Door for last in order to allow them to service a bridge into Dolphin 2.0 since Charlie, Lois and the entire Door team are playing an essential part in both of the 2.0 initiatives we're going to talk about today. 09:54 So let's go. Let's talk about Dolphin 2.0. As a reminder for anyone new on the call or to the Dolphin story, we define the work of our Super Group under Dolphin 1.0 as the very best at marketing pop culture. And we define what we call Dolphin 2.0 as using pop culture to market assets that we own. 10:17 What type of assets do we want to own? Easy, ones where our expertise in marketing gives us the greatest likelihood of success. We want to own what we know we can market better than anybody else. That's why last month, we announced a major Dolphin 2.0 initiative, the acquisition of an ownership stake in Midnight Theater, a contemporary variety theater and restaurant that will anchor the four point five billion dollars development from Brookfield known as Manhattan West. 10:43 It's across Ninth Avenue from Moynihan Station to the East and across Tenth Avenue from Hudson Yards to the West and only a short walk from the Javits Center, New York's preeminent convention facility. We feel the Midnight Theater is being built in the very best location in Manhattan. 11:00 Okay. So, let's talk about the venue. The Midnight Theater features three distinct experiences for the guests. The theater itself, a separate pan-Asian restaurant called Hidden Leaf and a ground-level cafe. Let's take the variety theater first. It's an intimate, luxury, state-of-the-art one hundred and sixty seat theater, which as the name implies, will have a rotating schedule of a wide variety of performances across music, comedy, broadway and magic shows. 11:31 The Midnight Theater also has built-in live stream capabilities, allowing for events inside the theater to expand beyond into people's homes and corporate offices. The theater will be available to host live stream podcasts, comedy specials, music events, corporate keynote events and more. 11:50 Hidden Leaf is the modern pan-Asian restaurant concept on the second floor of the Midnight Theater space led by renowned restaurateur Josh Cohen. Many of you know several of Josh's Brooklyn hotspots, including the Italian mainstay, Lilia, one of the most in-demand restaurants in all of New York City. 12:08 For the Midnight Theater, Hidden Leaf will feature a seventy five seat dining room, twenty seat private dining room and a forty seat lounge bar area. Hidden Leaf will be open for lunch and dinner and will incorporate world-class food with interactive elements such as table-side prep, wine consignments and memberships. And the bar is where you'll be able to find James Carbonara every Tuesday, Wednesday, Thursday and Friday nights. 12:34 For Dolphin, the Midnight Theater is the most exciting live venue concept we have seen in a very long time. It will be a truly modern variety theater paired with fantastic restaurant, which is a combination that is missing in the cultural landscape today. It is in the final stages of construction, and we expect to open by the end of the first quarter of next year. Dolphin will manage all aspects of publicity and marketing for the venue, both restaurant and theater as well as facilitate talent and commercial relationships within both the entertainment and culinary industries. 13:07 As we look to own assets wherein our specific marketing expertise will give us a greater likelihood of success, it is hard to imagine anything more in our wheelhouse than a world-class restaurant for The Door to publicize paired with a state-of-the-art variety theater that will program musical performances, Broadway cabarets, comedy acts and magic shows, all of which Short Fire and 42West currently promote. And of course, we'll be sure to have Be Social bring a steady stream of influencers as our guests and post about the great time they had afterwards. 13:41 Playing Dolphin's marketing strength is what Dolphin 2.0 is all about, which is also why we launched our NFTs business in twenty twenty one. I know many of you saw our big announcement this morning. Before we talk about that specifically, I'd like to take us back through the two key milestones in the past three months that positioned us to make today possible. 14:01 First, our partnership with FTX U.S., which we announced in August. For any that need reminding, FTX is a leading cryptocurrency exchange and wallet provider with over one million active users and over ten billion dollars of average trading volume per day. With access to FTX's platform and wallet services, we can now aggressively pursue our ambition to develop and program global NFT collections targeting all of Dolphin's verticals, including the sports, film, television, music, gaming, e-sports, culinary, lifestyle and charity industries. 14:40 With the technical development well underway, we then turned our attention to the creative side of the coin and brought in award-winning visual designer Anthony Francisco a few weeks ago in the newly created post of Creative Director to develop and execute numerous NFT series involving original and existing IP. Anthony came to us from Marvel Studios, where he was the Senior Visual Development artist responsible for designing iconic characters across the Marvel Cinematic Universe such as Baby Groot, personal favorite of many of the Dolphins, Loki and Dora Milaje, the female warriors in Black Panther. 15:16 In short, we feel we won the lottery for our NFT business by securing FTX as our technical partner and by bringing in Anthony Francisco as our creative lead. And together, that has what enabled us this morning to announce the launch of Creature Chronicles: Exiled Aliens, Dolphin's first generative NFT collection, which will feature ten thousand unique custom crafted avatars of an ancient race of aliens designed by Anthony Francisco. Each Exiled Alien avatar will fall into a specific alien hierarchy, assigned traits, and randomly generated. The collection is available for viewing today, right now, at creaturechronicles.io and is slated for minting in December. 16:01 Now, we intend Creature Chronicle to be a multi-season NFT event. After the release of Exiled Aliens, the community and fan experiences will continue to evolve and grow while the storyline develops and new NFT drops are released during upcoming seasons. Dolphin will ensure that Exiled Aliens community members will enjoy a wide range of benefits, including limited edition NFTs, master classes with Anthony Francisco and friends, creative competitions with incredible prizes, private events, and future surprises, all leveraging Dolphin's world-class relationships across the creative community. 16:42 Furthermore, holders of Exiled Aliens avatars will receive priority status for the purchase of future seasons of Creature Chronicles. We are pricing each Exiled Alien at two hundred dollars, which includes both the NFT avatar and inclusion into the ongoing Creature Chronicles community with all the benefits I just mentioned. Users can purchase Exiled Aliens directly on-site through a simple registration process, which establishes a proprietary FTX U.S. wallet for each user. 17:12 The user's FTX U.S. wallet allows for payments to be made via credit and debit cards as well as a wide variety of cryptocurrencies, including Sol, Ether and Bitcoin. The NFTs will be minted and stored on the Solana blockchain, a leading Proof of Stake blockchain that is recognized as faster, more efficient, lower cost and more environmentally friendly than its Proof of Work competitors, notably Ethereum. 17:39 So, there it is. All of us at Dolphin are really excited that this day has come, and we can share our very first NFT collection designed to launch our first community. We are obviously playing to the strengths of Anthony, and he has delivered the graphic art within the Exiled Aliens collection is absolutely breathtaking. And no offense to the aliens, but we don't believe there is a better visual artist in our shared universe than Anthony. We think this collection will appeal to the existing NFT enthusiasts while also serving as an entry point to those who are curious about NFTs and want to dip their toe in with something really cool from a world-class designer. 18:15 And quite frankly, we're excited to program for the community, which will allow us to play to our strengths and offer benefits and access to the worlds of entertainment and pop culture that are simply unique in the marketplace today. 18:31 Sunday, Midnight Theater and Exiled Aliens in one conversation. We're extremely pleased with these first two Dolphin 2.0 initiatives. And hopefully, today's conversation shared some context as to why they were chosen to lead Dolphin to this new era of ownership of assets that we are marketing. 18:48 Any Dolphin 2.0 opportunity is judged by its ability and success to serve as a major catalyst for our company. We feel these first two certainly have tremendous growth potential with Midnight Theater's possibility to expand into other cities and with our plan to launch NFT collections across all the industries at Dolphin companies currently market. 19:09 By the time, we jump on the earnings call for our 10-K, we would hope to have Midnight Theater open and everyone on this call scheduling their first visit and one or two more NFT collections launched and community activities for all of them well underway. And we're not stopping. We have more 2.0 initiatives in the final stages of closing that we anticipate announcing before the end of the year. 19:31 Our Dolphin flywheel is turning and momentum is helping us to gain speed. We feel that our marketing companies are the very best in their respective industries. Quite frankly, I think that's almost impossible to argue and there is no shortage of attractive partners and opportunities for us. The 2.0 pipeline is strong for NFT and non-NFT opportunities alike, and we will pursue those first that we believe will create the most shareholder value. 19:58 In closing, I would like to remind everyone that these 2.0 investments are on top of a growing 1.0 business that has led to record revenues for three quarters in a row, including seventy percent year-over-year revenue growth here in the third quarter. Two consecutive quarters of positive operating income even after the non-cash expenses of depreciation and amortization from our acquisitions and a record level of cash on hand, over twelve million dollars, in fact, which is approximately three million dollars more than all remaining debt combined, including the long-term debt. 20:33 We are profitable and growing with a beautiful balance sheet, and now we are launching Dolphin 2.0 in earnest. These are the days that we've been dreaming of since we uplisted to NASDAQ almost four years ago and began assembling the Super Group. 20:48 Thank you for joining us. To that end, I'll now turn it over to Mirta.
Mirta Negrini: 20:52 Thank you, Bill, and good afternoon, everyone. I will now discuss results for the quarter ended September thirty, twenty twenty one. Revenue for the quarter ended September thirty, twenty twenty one, was approximately nine point four million dollars compared to approximately five point five million dollars in the quarter ended September thirty, twenty twenty. Overall operating expenses for the third quarter of twenty twenty one were approximately nine point four million dollars compared to approximately six million dollars in the quarter end -- in the third quarter of twenty twenty. 21:26 Operating expenses are composed of direct costs, payroll and benefits, selling, general and administrative costs, depreciation and amortization and legal and professional fees. Direct costs for the third quarter of twenty twenty one were approximately nine hundred and ninety two thousand dollars compared to approximately five hundred and seventy five thousand dollars in the same period of the prior year. Payroll costs were approximately five point nine million dollars in third quarter of twenty twenty one as compared to approximately three point six million dollars in the third quarter of twenty twenty. 22:01 Selling, general and administrative expenses for the third quarter of twenty twenty one were approximately one point five million dollars compared to approximately nine hundred and fifty thousand dollars in the third quarter of twenty twenty. Legal and professional fees were approximately four hundred and ninety nine thousand dollars in the third quarter of twenty twenty one compared to approximately three hundred and seventy three thousand dollars in the third quarter of twenty twenty. 22:27 Operating income for the quarter ended September thirty, twenty twenty one of approximately thirty eight thousand dollars included non-cash items from depreciation and amortization of approximately four hundred and seventy five thousand dollars as compared to an operating loss of approximately four hundred and ninety three thousand dollars which included non-cash items from depreciation and amortization of approximately five hundred and fourteen thousand dollars for the same period in the prior year. 22:58 Net income for the quarter ended September thirty, twenty twenty one was approximately one hundred and forty two thousand dollars compared to a net loss of approximately one hundred and thirty eight thousand dollars for the quarter ended September thirty, twenty twenty. For the three months ended September thirty, twenty twenty one, we had basic and fully diluted earnings per share of zero point zero two dollars per share based on seven million seven hundred and forty thousand eighty five weighted average shares outstanding. 23:26 For the three months ended September thirty, twenty twenty, we had basic loss per share of zero point zero two dollars per share based on six million six hundred and seventy six thousand four hundred and five weighted average shares and fully diluted loss per share of zero point zero four dollars per share based on six million nine hundred and twelve thousand eleven weighted average shares outstanding. 23:50 Cash and cash equivalents were twelve point seven million dollars as of September thirty, twenty twenty one compared to seven point nine million dollars as of December thirty one, twenty twenty, not including restricted cash of approximately five hundred and forty two thousand dollars and seven hundred and fourteen thousand dollars in each period, respectively. 24:10 That concludes my financial remarks. I will now ask the operator to open the phone lines for Q&A. Operator, can you please poll for questions.
Operator: 24:21 Absolutely. Thank you. Ladies and gentlemen, the floor is now open for questions. [Operator Instructions] First question is coming from Allen Klee from Maxim Group. Your line is live.
Allen Klee: 24:54 Good afternoon. Congratulations on a strong quarter. I wanted to start off with the NFTs, it really seems like you've put a business together now of that this could have an impact next year how do you think about kind of, is there a way to think about like how the opportunity is here? Thank you.
Bill O'Dowd: 25:20 Sure. Well, thank you, Allen. Thanks for the kind words. Yes. We were thrilled with the progress even since Q2 on the numbers to get stronger. NFT, yes, it's an exciting business. I think we really wanted this announcement before we did our earnings call to be able to talk about. And let people go check out I mean, it’s up and there today to see what we've been building on the technological side with FTX to allow us to sell directly on our own sites, each branded site if you will, and be able to take credit cards as well as every form of crypto. Not just the single form on the blockchain that we're using. We're thrilled that it's Solana. We think Solana has so many advantages and as speed and environmentally friendly or two big ones for us, but we're excited for today. 26:17 In terms of scaling, you can see that this type of product is very exciting for us. The idea of a community-based NFT system sell ten thousand memberships if you will and get a whole bunch of cool stuff. We think that plays to our strength. We can program the cool stuff part. If you're interested in animation graphic design, who better and somebody like Anthony Francisco to do master classes with to program around. Imagine, if we did special screenings with any of the movies that Anthony worked on and talked to you behind the scene. What he did for them in some of the story decisions. So imagine suite stakes and prizes that result in all expense paid trips to come to time we have teams of people at every summer. You can imagine we go to other verticals, whether it's music, movies, television, sports, what we can do, we're already at The Grammys, The Emmys, The Oscars, the Super Bowl. I think we think of the NFT business, as community based. 27:26 And I think if you talk to people on the inside, I'm talking the blockchain, the competitive marketplaces, et cetera, how long pure art for art sake will last is an open question, but the -- everyone agrees that the future of NFT’s is in utility, but the NFT allows you to do something or receive something. And I think that's exactly why we built, what we've built and where we just quite frankly feel we have tremendous advantages, an entertainment related NFT community we have access to and can program better than anybody. And so that's what we're excited to roll out to the market. And along the way, by the way, our arts going to look really, really cool because we have Anthony. And so that's what we were launching today. And then make question after this initial launch will be the frequency and the speed that we can get the other verticals up and running. But as we get into the first half of next year, all the major verticals we will once have launched. So we're in it for the long haul, but we're excited to start each of the verticals that we already have expertise in.
Allen Klee: 28:52 Is it reasonable to think that the NFT product should be a high margin product, I mean, it seems that way to me. Could you explain it?
Bill O'Dowd: 29:05 Sure. And if I could, as I was trying to say in our numbers, this really is illustrative of what we hope is considered a better mousetrap by the market. I mean we have the optionality and a huge catalyst in NFTs, right? I would argue that NFTs to Dolphin represent the potential upside or more of many of the highest return investments out there from biotech or wherever else if they work. Well, we feel our catalyst is as good as anybody else's, but we're profitable along the way. We've been building this technology and our ability to offer this product to market and have been EBITDA positive in both the second and third quarters. So, therefore, that should pretty much tell you what the margin can be. Obviously, people have already received numerous calls today. People see the quick math, ten thousand avatars at two hundred dollars each. It's a two million dollars product and you're starting at communities. And so that means you can engage with that community every week, daily, hourly on social media. But -- and then as we -- this product was designed to be an event, a multi-season event, so you're going to have more drops, more contests and sweepstakes and that's what allows you to build and sustain this community that will have future drops in the future. So, you might have another two million dollars product four, six months from now, et cetera, et cetera. So, it scales very quickly. And then, of course, once we have multiple verticals going, imagine a product in music, one in film, one in sports, one in charity, one in culinary, one in gaming. Right now, that's up to six and you start cross-selling with each other. So, you cross-pollinate your communities. 31:01 And of course, you can have more than one community inside each vertical. I mean, music itself, you're not going to have one music community, you'll have multiple, so four different types of music, right. So, it's an exciting world for us, and we needed the robustness, if I just coined the term, I'm not sure of FTX and their wallet to allow for both the acceptance of credit cards, the speed, the strength of being able to build on the blockchain for those that volume of offering globally. So, some of our programs, including Anthony's are going to appeal to an international audience very much. Aliens, no, no, national boundaries, right? So, it's an exciting day, and I think it opens a glimpse to those who are interested in Dolphin for our NFT capabilities to really get a sense of what we can accomplish.
Allen Klee: 32:02 And just to confirm that I understand the NFT market right, you have the potential -- is it true that you have the potential to get recurring revenue if you're the creator of an NFT because every time there's a secondary sale, can you get a piece of that?
Bill O'Dowd: 32:21 Yeah. Thank you. I'm sorry, and going back to your previous question, I'll answer in three parts with the new question with that. Yes, it's a very...
Allen Klee: 32:28 Sorry.
Bill O'Dowd: 32:31 My fault. It's a very high-margin business because especially Exiled Aliens because this is an internal Dolphin-developed property. We own one hundred percent of it, and it's exciting for us to launch with that and to show our creative shops and why we took the time to build an entire storyline around it. There's a saga here that fans are going to want to be a part of. And imagine receiving issue number one of one of the classic DC or Marvel Comics, right. If you're a collector, you're going to want to collect all ten episodes. And that's exciting for us. That's what I mean by future NFT drops. 33:08 But secondly, yes, we have recurring -- potential for recurring revenue in a couple of ways. One, are those future drops to the same community. We haven't decided on the number of episodes of Exiled Aliens. But whatever number it might be, as we're refining that now, those are -- that's revenue you can go to the same community and give them added value along the way. And secondly, each NFT that we sell, if it resells in the open market because new people want to be part of the community or certain of these entities are going to be very rare and valuable for moment number one. Then yes, as they resell to often keep seven point five percent of the revenue in perpetuity across all sales.
Allen Klee: 33:57 Thank you. If I look at some of your Dolphin 1.0 businesses, that they should all be benefiting from post-pandemic recovery. And I was wondering, if you could kind of give us a sense of kind of what inning we are in the recovery for some of these. I know, for example, like Live Nation, on their third quarter call, I think they said that their tickets for major festivals were selling out and overall sales were up ten percent versus twenty nineteen, which is pretty amazing. So, I'm just caring for yourselves, how you're thinking about where you are in the recovery and the potential just in some of the areas, just getting back to kind of where you were?
Bill O'Dowd: 34:56 Sure. Yeah. This growth has been accomplished without a full recovery. We've had some recovery, which is great. It's only going to -- it's continuing to build momentum. But the two big areas, motion pictures have started to come back in theatres, which is great. Obviously, we had James Bond earlier this month, Dear Evan Hansen, before it. We have some others coming up, but it's still not where it was. It will -- we expect the motion picture business will be and hope that it will be where it was by the second quarter of next year, and it's growing up until that point. Now, the one that's still out there that hasn't recovered yet is the restaurant business. There are signs of shoots coming up from out of the ground, trickling in, but that's going to be a nice recovery play for us in twenty twenty two. I don't know if it's first quarter, if it's going to take till the spring but that will meaningfully impact our numbers. This revenue growth has been accomplished without that business being back. 35:55 And by the way, that's really a tribute to our subs. I really included that line, yes, we're up seventy percent year-over-year. That's forty one percent organic growth from the existing subs. That's tremendous growth. And we have more to go as we get both a recovery play, but then also long-time fans of the stock know, we -- the companies are just getting stronger and stronger cross-selling with each other. They have more and more joint projects. The old joke I made when we had 42West alone in the Group three years ago was you can't cross-sell with yourself, right. But now we're up -- you are up to six companies. And this Dolphin 1.0 is only going to continue to grow because we can cross-sell and recover. So, it's exciting times. I mean, we've gone from seven point something to eight point something to nine point something in successive quarters of record revenue. So that's got to say something to somebody.
Allen Klee: 36:57 And Be Social, it's kind of fascinating how that can kind of touch everything. How do you think about kind of how that expands next year?
Bill O'Dowd: 37:08 Well, it's funny you say that Allen because yeah, and those who remember from the Q2 of twenty twenty, remember the joke we made then was that the holidays came early when Be Social joined the Group because every one of our market-leading PR firms wanted a sister company that was created in both the marketing. So, for Dolphin 1.0, that's -- I'm not going to underemphasize adding Be Social to the Group and what it's meant. But for Dolphin 2.0 to talk about touching everything, as I highlighted, I mean, Midnight Theater, yeah, they can use Be Social, both for the restaurant and the theater. Influencer marketing campaigns are marketing 101 today for any restaurant opening as The Door or hotel opening. 37:57 But then also, with NFTs, I mean how do you get the word out in online about a new offering. And I think the fact that a strong influencer marketing campaign as we go forward and go into twenty twenty two, we're certainly looking for engaging Be Social on a consistent basis to help with these launches because they bring a lot of the word of mouth and a lot of the cool factor to it. So Be Social is a very important and strategic part of our company, and it couldn't be nicer people and a nice cocktail event with them last Thursday in Los Angeles. And yeah, we're -- we feel very lucky that Be Social's inside the Dolphin family.
Allen Klee: 38:44 That's great. In terms of Midnight Theater, will there be a point next year where we can get a sense of what the contribution could be? I know it's too early now, but…
Bill O'Dowd: 38:57 Yeah, I think so. As we get to opening, we're going to have a lot of metrics for that. We're very confident in that investment. We think it's going to do very well and it has a lot of room for growth, I can get to in a second, but we'll have some metrics probably by the time we speak on the K call because we'll have -- with the theater, you have advanced ticket sales. We'll know preopening numbers, we'll probably know our post-opening numbers, we'll have a sense of how it does. And if I could, how it's doing. I think the aspect of the variety theaters is really cool. And I think it may -- the advantages of that may be missed by the casual investor, a true -- a classic, let's call it, Broadway Theater rides entirely on whichever shows in the theater. So, if you're the Richard Rodgers and you got Hamilton, you're feeling great. But if you don't, that's riskier. The -- it's an all or nothing proposition. 39:58 For a variety theater, you have a variety of acts and you have a variety of different audiences that you can bring in because of those acts and something like an intimate one hundred and sixty seat theater, that doesn't -- that's not a lot of seats to fill that theater and you don't need to fill it to be profitable. But to sell tickets there, you're not -- it's not a heavy lift. A variety theater gives you a broad, broad audience to go after, they're something literally for everyone over a short period of time. The challenge of a variety theater is you say, well, why doesn't everybody do a variety theater? There's a shortage of that. Because there's two challenges. You have to be able to program it. You got to be able to market all those different packs. Well, that's where one plus one hopefully equals eleven. What do we have the ability to do? We have the ability to market all those different acts. We already do from a wide variety of music -- look at Shore Fire, it's the biggest and most expensive music PR firm in the world. 41:02 The types of acts that Shore Fire has in their roster playing every genre of music. It's not just pop. It's rock. It's Jazz, it's R&D, it's classic, it's everything. And many of those actually play at the Midnight Theater. So, you get a double win of both marketing and helping the program. And so, as I mentioned on the -- in the prepared remarks, whether it's comedy, whether it's Broadway cabarets, whether it's magic, we already promote -- one of our PR agencies already promotes those individual types of acts. So, we have that expertise. And if you can market it, then you've eliminated what's usually the challenge and you're left with what's usually the positive. And of course, every one of those acts are new audiences to the restaurant and new audiences you can market to in the future. And you get all that data of what programs well. Jazz, does it work? And does it work on Tuesdays, Thursdays, Saturdays, et cetera? And you get smarter and smarter with each passing month. So yeah, it's exciting. 42:06 And then, of course, for the upside, yeah, this great venue in this gorgeous location. I mean, for those who aren't familiar with Manhattan West and live in New York, you should really check it out. I mean it's a brand new four point five billion dollars city block, right. But there's no reason why in success, you can't take that concept to other cities. And then the scaling of those economics is just gorgeous whether it's Los Angeles, whether it's London, whether it's Nashville, whether it's Miami, I mean that's -- when we talk about catalysts, New York alone would be a catalyst to a company our size, you start scaling it to hold different ball games. So that's why Midnight Theater is -- was extremely attractive to us.
Allen Klee: 42:52 Okay. My last question, I find it somewhat financial. How do you feel about your expense structure now staffing and whatever tech spending relative to your revenue growth? Do you think that there's operating leverage at this point in the business model?
Bill O'Dowd: 43:11 I think so. We've staffed preparing for this day, right. So, we're close to full staffing needed to -- really would be able to expand the NFT business. I assume that's what most people want to talk about, passed this one collection into a series of collections. We want to add one or two more people on the -- in that division, but bulk of what we needed, we have in-house now. So that's exciting for us. And to your original question on the NFT business, it's not only a high-margin business in success, it's the highest margin business we have. So it's -- I would hope it will be a meaningful contributor in twenty twenty two, excuse me.
Allen Klee: 44:08 That's great. Thank you so much.
Bill O'Dowd: 44:12 Sure.
Operator: 44:14 I'd now like to turn the floor back to Bill O'Dowd, CEO of Dolphin Entertainment for closing remarks.
Bill O'Dowd: 44:18 Oh, man. I was so sure I was going to get more questions this time. Well, thank you, everybody. And to that last point on Allen's question, I should also say that's also why you saw we managed ourselves to the EBITDA positive operating income positive even while we were staffing up and investing, which is really fantastic. 44:44 So thank you, everybody, for the time today. I hope everybody has a great holiday season. I know we'll speak again in twenty twenty two, hopefully, sooner than even the 10-K call, we'll look for an opportunity to do so. But in the meantime, I think you could be looking for a couple of more announcements from us before the end of the year, and we're excited for what this call represents with our first two 2.0 initiatives in market. So -- and if you're looking for something to do when springtime rolls around the New York, come to the Hidden Leaf and have a drink with James Carbonara. Thanks, everybody. Talk to you later.
Operator: 45:23 Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.